Alan Jackson: Welcome to Playtech's 2017 Full Year Results Presentation. I'm very pleased to stand here today to report good growth across the group despite some headwinds in our marketplace and importantly to confirm that recent acquisitions have integrated and performed well within the group. Our focus on regulated income is paying off, with regulated revenues growing to 54% in 2017. Playtech continue to execute its industry-leading omnichannel proposition. And I'm pleased to say there was significant progress in key verticals of Sports and Live with significant new client wins. Likewise, our financials division has performed well with straightening of both its B2B and B2C offerings, which you'll hear more during the presentation. Our balance sheet remains strong, allowing us to consider significant strategic initiatives. In line with our confidence and reflecting our strong cash generative model, we are declaring a 10% increase in our full-year dividend. I'd now like to hand over to Andy for group financial review.
Andrew Smith: Thank you, Alan, and good morning, everyone. Turning first to Slide 5. On a reported basis, 2017 - Playtech delivered good growth across all key line items. Total reported revenues and adjusted EBITDA increased 14% and 7% respectively, compared to 2016, with the lower growth in adjusted EBITDA due to the mix effect as discussed this time last year. Growth in reported adjusted net profit was above the growth in adjusted EBITDA in part due to significant fluctuation in currency exchange rates in 2016, which impacts the reporting of cash balances mainly in sterling, which in turn impacted reported adjusted net profits. On Slide 6, we can see the impact of both acquisitions and currency on the 2017 numbers. 2017 saw a material contribution from the M&A delivered in 2016 and early 2017, including BGT, Quickspin, ECM, CFH and Eyecon. Excluding acquisitions, 2017 was impacted by significant headwinds which we'll look at on the next slide. Adjusted net profit growth at constant currency was lower than constant currency EBITDA growth and I'll explain the reasons for this later in the presentation. Turning now to Slide 7. At Playtech we never like to make excuses for our performance. However, 2017 was such an unusual year for headwinds faced with so many combining together, we remiss not to mention. Adjusted EBITDA level currency alone provided a €40 million headwind with combined headwinds totaling €60 million. Looking now at Slide 8. As discussed with many of you over the past year, we've improved disclosure to assist with analysis, specifically of the businesses with different margin profiles. The new disclosures shows a new line item called B2C Gaming, which includes white-label, B2C and casual. We stripped revenues and cost out for these businesses to show separately as they have fundamentally different margin profiles and we can look at this in detail in the coming slides. We have also categorized other cost line items including removing revenue-driven costs, which contained a significant amounts of the Sun Bingo contract and then now in B2C Gaming, as well as all other costs which we don't believe assisted analysis. Most importantly, we have separately disclosed R&D, which should serve the highly the technology base of our B2B business. To ensure total transparency, the previous disclosure of revenue and currency is contained in the appendix. Looking at Slide 9. It is clear to see that this is now easy to analyze the relevant contributions and margin profiles of B2B Gaming, B2C Gaming and TradeTech. Turning now to Slide 10. We presented performance by gaming vertical on both old and new methodology, as well as showing the performance of each vertical. Looking at the far right-hand section of the table, which highlights the differences between the old and new methodologies, the services line and the other line impacted the most, by the new disclosure with B2C and white-label revenues having previously been largely within the services line and with casual revenues within the other line. Looking now at lines within the B2B Gaming division. Casino saw a strong performance of 11% in 2017, albeit with a significantly stronger H1 than H2. Quickspin and Eyecon, which sit within the Casino line and which were both acquired since the start of 2016, are performing very well. As flagged this time last year, services revenues were impacted by the expected loss of the Poker strategy contract with PokerStars and certain customers of Playtech pulling out of particular markets such as Australia and other dotcom markets. Sports was boosted by the first full-year contribution from BGT, which more than offset the lower revenues from Mobenga. Bingo benefited from the acquisition of ECM at the end of 2016. Poker revenues increased 5% as the first time we've seen growth in Poker for many years. Finally, the other line item was at 48% mainly due to the new casino systems in IGS and the sale of VideoBet machines. Taking all of this together, total B2B Gaming was up 11% in 2017. B2C Gaming was up 29% in 2017, boosted by first full year inclusion of revenues from the Sun Bingo contract and the strong performance from the Narcos casual game. Looking now on Slide 11, which analyzes different verticals on an ex-acquisition basis. The impact of acquisitions on both the Sport and Bingo revenue lines is clear. Despite the previously mentioned headwinds, B2B Gaming revenues excluding acquisitions grew 2% as reported and 6% at constant currency. We're looking at H2 only and excluding Asia, B2B Gaming grew double-digits including acquisitions and mid-single digits excluding acquisitions. Looking now at the breakdown of costs on Page 12. As mentioned earlier, we have reclassified the cost line items, which should help in analysis of the business. Given the level of M&A activity last year, we've also analyzed cost both including and excluding acquisitions. To ensure full transparency, the cost analysis on the old basis is included in the appendix. Looking at the right-hand side of the table, which is excluding acquisitions, costs were broadly flat year-on-year in B2B Gaming. For the first time, we've specifically disclosed expensed R&D which fell in the year. However, total R&D including adding back capitalized R&D costs increased due to significant investments in Playtech's IMS platform, GPAS and Marketplace as well as in Playtech's BGT Sports, Casual and TradeTech. Capitalize B2B Gaming R&D costs equated to 35% of B2B gaming R&D spend. Turning now to look at the margin on Slide 13. As a reminder, we've stressed that recent are going forward ,we would expect good group margins to be less of a relevant KPI for the group, given the different margin profiles of the different parts of the business. We also guided that this mix effects was expected to lower 2017 group margin to be around the level of the group margin 2015 with a higher percentage contribution from lower margin pass the business including white-label specifically from the full-year contribution from Sun Bingo, TradeTech and from Casual. The group EBITDA margin 2017 was therefore very much in line with guidance at 40%. The adjusted EBITDA margin in B2B Gaming remain broadly flat for the year at 49%, despite the issues in Asia reported at the end of 2017. Turning now to Slide 14. As I mentioned earlier, adjusted net profit at constant currency was lower than constant currency EBITDA growth. This was mainly due to the higher depreciation charge following the acquisition of BGT, as well as a higher tax charge due to both acquisitions with higher effective tax rates, together with the evolving global tax landscape resulting profits and recognized high-taxing territories increasing Playtech's effective tax rate. Growth in adjusted EPS was in line with growth in adjusted net profits. Looking now at cash flows. Net cash from operations was up 22% to €307 million, with operating cash conversion of 88%. DSOs in the year-end were 48 days compared to 46 at the year-end. It's worth noting that this number dropped to 43 a few days into 2018. The strength and sustainability of our cash flows enabled an increased order dividend of 10%, which is in line with Playtech's progressive dividend policy, which was adopted in 2016. Turning now to Slide 16. The cash at the end of 2017 is broadly the same as at the end of 2016. With the inflow of net cash from operations, offset by the payments of dividends, acquisitions including Eyecon, Alpha, BetBuddy and Generation Web and spend on PPA, which also includes capitalized development costs. Looking now at the balance sheet. Playtech remains committed to both an efficient capital structure and optimizing its capital allocation. Whilst M&A remains Playtech's priority, which Mor will talk about later, we constantly evaluate the most appropriate allocation of capital, including M&A and returns to shareholders. With this in mind, it is worth noting that we're in the process of putting in place new longer-term debt facilities. We would hope to be able to update the markets on this over the coming months. The carrying value of available for sale investments mainly being the holdings in Ladbrokes Coral and Plus500 increased to €381 million from €230 million at the end of '16, with the share price of both companies rising significantly in the year. In addition to the share price rises, we received dividends of €6 million from Ladbrokes Coral and €11 million from Plus500 with a further €13 million recently cleared by Plus500. Finally from me given the number of moving parts, I thought it would be useful to include some pointer for the shape of the results for the rest of 2018. The H1, H2 split in 2018 is expected to be skewed by 2017 performance. H1 2018 is expected to be lower than H1 2017 due to the strong H1 2017 performance specifically in Asia. H2 2018 isn't expected show significant growth over H2 2017. The outlook for Malaysia remains uncertain and Mor will talk about this in more detail shortly. Although the Sun Bingo performance continues to improve and material loss is still expected in 2018. Group adjusted EBITDA margin is expected to be a little lower than in 2017 with a high contribution from lower margin areas of the business. And with that I'll hand over to Ron.
Ron Hoffman: Good morning everyone and thank you for coming. I'm very pleased to present to you this morning the strong financial result of TradeTech Group, which reflect a significant improvement and progress we have made last year. As indicated in the interim results presentation, TradeTech Group achieved key milestones in 2017, delivering both significant organic growth as well as successful acquisitions, which together are providing the foundation for future growth in line with the strategic vision at TradeTech Group level. Looking at the headline figures, we see significant growth on both actual results as well as after excluding acquisition and on a proforma basis. This shows the business has delivered EBITDA growth, not just on the back of a specific area in the business or acquisitions, but really across the different business segment. Presenting organic EBITDA growth of 18% after excluding acquisitions, but even more significant an impressive 58% growth on a proforma basis after taking into account all of the acquisitions during the period and their historic underlying performance. This shows TradeTech is in a growth trajectory across each of its business segments resulting to an impressive 85% actual growth in EBITDA. When looking at the revenues and EBITDA performance, there are few points, which should be mentioned. First we have delivered a significant margin improvement on the underlying business following efficiencies and cost reductions made towards the end of 2016 and then beginning of last year. This is very much in line with what we have reported at the 2016 full year presentation and has continued further into 2017. Secondly 2017 revenues have been negatively impacted by the crypto hype experienced in the year and mainly in Q4, resulting in a total loss of $7.6 million from our top line, affecting both the B2C segment as well as B2B. I will go into more details on this topic further on in the presentation as we view this as an exceptional event during the period. If we were to exclude the crypto loss from our reported results, revenues and EBITDA would have totaled $103.6 million and $38 million respectively. A growth of 43% in revenues and 132% to EBITDA, with 48% underlying EBITDA growth after excluding acquisition and 94% on a proforma basis, showing outstanding performance for the business outside of crypto, under a continued evolving regulatory environment, which included both leverage and incentive restrictions introduced in January 2017. Let's start with looking at the markets.com B2C performance. This can be seen from the table at the top left. We see a significant growth on both, first time depositors and active customers with 43% growth in actives and 93% in FDs. This fundamental improvement and momentum in the B2C business is driven by a significant improvement in the CPA meaning cost-per-acquisition of $870 in 2017 on the back of continued development of our automated marketing capabilities. As noted in the former slide, the crypto hype had a material impact on our B2C top line performance. The majority of the impact was in Q4, combined with a very low volatility on other asset classes during that quarter, resulting in an underperforming fourth quarter, which is clearly illustrated on the graph at the right side. As you can see there is a healthy link between the revenue performance of the business and number of active customers in the period between Q1 to Q3 and an anomaly in Q4, due to the low volatility and crypto loss. It is however important to acknowledge, the steady growth in actives, which we believe will continue in 2018 and beyond and which will be translated into higher revenues and profits going forward. When looking at the B2C revenue line, outside the crypto hype and low Q4 volatility, this has remained relatively stable despite the regulatory changes relating to the default leverage limitation and elimination of incentive bonuses. When further analyzing some of the customer metrics in the B2C business, we can identify some important measures to indicate. First, approximately 38% of 2017 revenues were generated from new customers, which naturally means 62% of revenues are generated from existing customers on-board at prior to 2017, representing strong continuous relationship with our B2C customers. This is further strengthened by the customer tenure split, showing that the majority of revenues are generated from customers trading for more than one year, where by 28% from customers trading for more than two years, improved from 25% in 2016. These measures reflect the continuous effort invested in improving the quality of services we offer to our customers with further developing decision supporting tools and capabilities, which are designed to help them identify trading opportunities. These includes our real-time trading - trending now feature, traders trends live disclosure per asset, events and trade financial calendar, market consensus, analyst integrated portal and more. These are all designed with the strategic view of making markets.com become the real home for traders. Moving on to the B2B segment of the business. As can be seen from the table 2017 has shown significant growth on both actual results excluding acquisition and on a proforma basis, showing the true growth trajectory of the underlying B2B business. TradeTech's B2B segment is now servicing over $1 trillion in volume from B2B customers and over $1.3 trillion on a proforma basis after adding Alpha's pre-acquisition volumes in 2017. These results show a healthy link between revenues and volume with a steady revenue generation on the back of increasing volume from customers from the three sub-segments of our B2B offering, with total revenues up by 25% on a proforma basis to $65.6 million, which include the negative impact from the crypto hype and volumes up by 27% on the same basis, together with the record high balance of client equity reaching $144.7 million. These strong results are a true reflection of how well TradeTech is positioned in becoming the provider of choice to brokers, which is in line with what has always been Playtech's B2B strategy. Our unique technology offering, risk management, liquidity and execution is what drives the growth to our B2B segment and becomes the engine for TradeTech's future growth in 2018 and beyond. The CFH and TradeTech Alpha acquisitions complemented the front-end and back-end technology offered previously to cater for a complete and holistic solution to brokers, enabling them to enjoy a full suite of products from a unique trading platform in CRM system to liquidity control, risk management capabilities, real time risk applications and more. TradeTech strategies to continue and establish its capabilities across the entire volume chain in the financial trading sector. The combination of Alpha's capabilities, its technology and risk management expertise together with CFH being a well-established Tier 1 liquidity provider and it's best of breeds liquidity control technology, further combined with markets technology on marketing, back office and unique trading platform offering positions TradeTech Group as a significant B2B provider with a unique turnkey offering to brokers. Let's look at the trend in volume and split between the different offerings. As clearly shown on the slide, we see a healthy increase in each of the sub-segments, further strengthened by the Alpha acquisition in Q4 '17. Our turnkey offering delivering the full suite of front-end and back office technology alongside risk book and liquidity has increased by 14% from H1 to H2 as additional brokers are on-boarded together with organic growth from existing ones. CFH being the largest in volumes within the Group continues the growth trajectory, with an increase of 11% from the first half of the year through the second and with the strong pipeline of new customers underway further strengthened by volumes from TradeTech Alpha commenced in Q4 following the acquisition. Turning now to expand more on the unique challenges and impact of trading on cryptos in late 2017.In Q4 2017, the hype surrounding cryptocurrencies reached a new high resulting in an aggressive price inflation on the back of a one-sided of the market. Whether that was Bitcoin, Ethereum, Ripple, Dash, Litecoin or other cryptos the hype was simply moving from one crypto asset to the other on a daily basis getting to a massive price increase since the beginning of the year and specifically in Q4. Up until the introduction of the CME and CBOE liquidity venues in mid-December '17, there were simply no appropriate hedging facilities available for those assets. This resulted in the majority of the market participants maintaining the risk on their own risk book. Some market participants took the decision to buy physical cryptos through the various cryptos exchanges, which ultimately means converting market risk to significant counterparty risk. As you may have read some of the news articles last year, such risk was realized to losses in numerous occasions, whether on the back of hacks, exchanges collapsing, clamping down on certain exchanges or simply cases of customers not being able to withdraw their funds. We have also noticed that at certain times, price behavior of cryptos was not aligned to market events, again feeding the creation of an insufficient market and creating significant uncertainties and issues of reliability on what really drives the price in this market. This was further strengthened with the fact that there were, and still exist significant price arbitrage between different exchanges given the fragmented and underdeveloped nature of these assets. It is also important to note that the trading behavior of customers in these assets class is fundamentally different compared to non-crypto assets as many customers simply ride the hype, and not actively trading on the back of market events, trading strategies and so on. Despite these challenges - these challenging features, given the high profile nature of the crypto currency as an asset class and the hype effect itself, they became an important acquisition tool in driving growth in FD's across the industry as a whole, noting also that crypto-focused customers also developed to trade other asset classes in parallel to their crypto portfolio. We have taken into account all of these factors and have decided to move into offering a fully hedged futures product with CME on an unlevered basis. And we are also monitoring evolution of the market as things progress. Apart from the aggressive crypto movements in the last quarter, the market was generally silent and very low on volatility on other assets classes. Looking now it's one of the biggest themes in the financials rating sectors - sector, rapidly evolving regulation. Our experience of the new regulatory framework learned in the gaming division prompted TradeTech to be an early adopter of new regulation. Management believes that TradeTech is part of Playtech has significant experience, governance procedures and balance sheet strength to continue to support regulation and remain both commercial and compliance. I would also want to stress that TradeTech is extremely supportive of the regulatory improvement we see developing across the industry. We believe that this will continue to drive an improvement in the reputation of the industry and continue to attract new customers. The CFD in financial trading industry is still a young industry and there remains a long tail of non-compliance and flawed operators who will not be able to withstand the increase reporting in compliance requirements. We believe this will further benefits our compliant in reputable B2C brand markets.com, as well as increase the dependency of smaller B2C operators on B2B service providers, such as TradeTech. Firstly, TradeTech has worked hard since the restructuring in 2016, to be the responsible and compliance business model and practices. The Mifid II regulation, that came in January 2018 brought with it higher levels of product governance and transaction reporting requirements. I'm proud to say we are fully compliant with all Mifid II requirements. On the proposed - on the proposed change in leverage limits ranging from 5 to 1 to 30 to 1 on different assets. TradeTech introduced a default leverage cap as per the size accruals from the beginning of 2017 and although the average leverage of the customer varies from asset to asset, we believe TradeTech is well placed for the outcome of the new threshold, it is - for the new threshold. It is also important to note that this change may impact customers trading behavior, but this is yet to be seen. On negative balance protection, not allowing customers to enter a negative balance on their account is already and has always been an established part of our business model. In the similar situation with respect to restrictions on the use of bonusing and other incentives for trading, we are already fully compliant. Finally, before I hand over to Mor, I'm delighted to say we will be holding a TradeTech focused Investor and Analyst Day in May this year. We will provide a more detailed update on progress for TradeTech Group at the Investor Day. But in terms of short-term outlook, I'm pleased to report that we have experienced a strong start to the year. If you are interested in attending the Investor Day, please let James, our Head of IR know, after the presentation or in email. We will also provide further insight across the business and we'll follow up shortly with a more detailed invitation and agenda. Thank you all for your attention. I look forward to seeing you all in May. With that I will now hand over to Mor.
Mor Weizer: It's not a mistake [indiscernible] glasses. Omnichannel - omnichannel we call it. Thank you, Ron and good morning everybody, thank you for coming today. It has been another exceptionally busy year at Playtech, with operational progress, which has secured the opportunity for growth in strategically important markets and verticals. Firstly, the core business remains strong, despite headwinds in regulated revenue in H1 and disruptions in unregulated markets announced in the second half of 2017. The strength of the underlying Playtech business delivered 18% revenue growth for the group at constant currency. A year ago, at 2016, full-year results, I reported our strategy was to deliver industry-leading sports in live casino offering, is the next phase of the ominchannel strategy. Today, I'm proud to say we have done this and it's already yielded results with new clients in both verticals and strong progress for existing customer. Matching the strength of our core casino vertical across the growth verticals of sports in live, is important for two strategic reasons. Firstly, integrated products and content across all verticals, is essentially for cost selling between verticals, a central part of Playtech ONE. Secondly, being at full strength across all product verticals puts Playtech at a strategic advantage in newly regulated growth market, where a full turnkey solution across all verticals and across retail and online, is essential for partnering with the leading land based brands to deliver an integrated online solution. In addition, our new strength in sports allows us to partner with these leading brands or as we call them the local heroes, in most popular and accessible vertical as we demonstrated post period and with SAS in Portugal. Playtech's financial strength is not only essential for M&A and geographical growth, but also to ensure that we drive innovation in the industry. In 2017, Playtech invested more than €120 million in R&D, a number that operates in smaller content and platform provider simply cannot match. In 2017, this enabled the launch of a new gaming platform GPAS and marketplace in the industry's first omnichannel sports solution. Before we move to review the operational developments in gaming in 2017, I wanted to build on things Andy discussed in his section. Regulation continues to be the biggest influence on the gaming industry in both regulated and unregulated market. In the U.K. we have seen months of uncertainty around the Triennial Review as the results have been delayed. In other regulated markets, we saw some changes to advertising and in others it simply takes time regulate. Our strategic position on Asia is unchanged. We operate a risk-based approach where our legal and compliance teams are consistently reviewing the regulatory environment, to ensure that our presence is commercially beneficial to the Group. As outlined before, our focus has been to invest heavily in regulated markets and this is demonstrated by the consistent growth in the regulated group revenue from 36% in 2014 to 54% in 2017. As outlined in the interim results in Q1 volume in China was much higher than anticipated. As indicated at the end of Q1 and into Q2, as expected, we saw a decrease in this volume to normal levels, yet in the long term, we expect to see growth in China continue, although potentially to more normalized levels. Regarding Malaysia, we are monitoring developments there closely and work closely with our distributors and operators, who are our best source of intelligence. At the moment, we have received no certainty on timing, but this does not impact or change our longer-term view. It is clear from our experience, in market evaluating gambling laws that at each review and discussion, the market return with an improved operational in regulatory environment even if still unregulated. The contract with News UK for the Sun Bingo continues to see improvement, although remains challenging. As a reminder, although the migration of the Sun Bingo in 2016 was successful from a technological perspective, there were challenges migrating all of the VIPs. Changes were then made in Q2 2017 which has led to some improvement in KPIs and performance. However, given that Bingo is very much a U.K. business, which is also seasonal, the full benefit of the changes made were offset by exceptionally good weather combined with the U.K. summer holidays. The Sun Bingo then improved towards the end of the year with a successful promotion just before Christmas with the start of 2018 showing some continued momentum. It is worth remembering that there is significant operating leverage within the Sun Bingo contract due to minimum guarantees payable to News UK, which means that as revenues increase, this benefit will drop straight through to the bottom line. Despite the improvement, the Sun Bingo contract remains challenging. Playtech is in discussions with News UK following a thorough analysis of the issues encountered with the contract. The most successful operators in the industry have maintained a balance between the regulated and unregulated income is the mix of high-margin income from less-developed markets allows operational flexibility and greater investment in competitive developed markets. To secure future growth, Playtech strategy is to focus on investing in fast growing newly regulated or regulating markets. During the period, we concentrated on supporting the organic growth of our customers in the U.K., Italy, Spain, Finland, Denmark, Mexico, Colombia and Romania. And we will continue to regulate with licensing regimes expected to be introduced in the Netherlands, Sweden and Switzerland between 2018 and 2019. Latin America will be one of the key growth geographies in the coming years and one where Playtech has a strategic advantage. Mexico is now one of Playtech's top five regulated markets in gaming following the growth of licensee Caliente and the strength of our operations in Latin America positions us well with significant markets, Peru and Brazil currently, reviewing regulations. In the U.S., the outcome of the judicial review on sports betting could represent a milestone towards regulation. We believe that the potential movement in sports betting regulation would represent an attractive opportunity given the unique strength of our Playtech BGT Sports offering, should sports betting will be allowed or additional or commercially-viable opportunities develop as more states regulate. It has become very fashionable to talk about - again to talk about industry consolidation. Industry consolidation dates back to 2011 and what people mean when talking about consolidation between operators is insourcing, which is also not a new theme. In the past, Playtech has worked with Tier 1 operators that have invested heavily insourcing in an attempt to take technology in-house. Foremost, this approach proved too expensive, time consuming and ineffective and hundreds of millions invested led eventually to write-offs or simply did not produce the expected results. Part of the current discussion on insourcing is around platform technology and suggests this could have a negative impact on the future use of Playtech's platform across the industry. This is an oversimplified and understanding of what we really mean by platform and shows a lack of understanding of the role that Playtech has played in realizing synergies as part of operators' past consolidations. The Playtech platform is renowned for its capabilities that historically led to higher player values and greater returns. This is how we've built our business, and more than 17 years later, it is still the case. It is the end result of close cooperation with the largest and best operators across the industry. For years, I've been asked how is it possible that so many well-established operators all use Playtech. The answer is that Playtech's platform was not designed to answer any specific operator needs, but provides a flexible and scalable offering allowing us to work with an unrivaled scope of operators from multinational retail and online operators to state monopolies. You do find one common denominator between them and it is that they outperformed our peer group. In addition, Playtech's key differentiators are not available anywhere else and are at central part of the competitive gambling offering. The unique omnichannel solution we have developed over the last five years underpins access to the largest progressive jackpot network across products, verticals with €208 million in progressive jackpots paid out only in 2017. We have the largest games and branded games portfolio exclusively provided by Playtech. With access to the largest liquidity pools available in bingo and poker. Playtech is the largest B2B provider in the industry with this scale and stability to provide an unparalleled level of data utilized by our operators to benchmark performance and provide the real-time insights for better cross-sell and marketing capabilities. As markets continue to mature, as is the case in the U.K., we anticipate consolidation will continue. Consolidation creates an opportunity to Playtech given the increased scale and access to additional markets and all brands and our experience shows it translates into incremental revenue and profit streams to Playtech. It is also evident that our customers do better than their peer group, which comes down to the quality of brands and capabilities all enabled by best-of-breed platforms and products including some unique capabilities provided by Playtech. Building on what we have just discussed, it is the scale and strength of the Playtech ONE strategy that has led us to our strategic position today. I want to expand on the progress we have made in three key objectives. The progress in key product verticals, the extension of the platform through and use of data, and finally, the innovation, GPAS and marketplace will bring to delivering omnichannel gains. We will now turn to review the strategic progress in the key verticals; Sports, Casino, Live Casino. This year so Playtech execute on the sports opportunity with the integration of our sports assets into PBS, delivering the first full integrated omnichannel sport solution that will become an industry standard, given the inevitable convergence between the retail and online and the opportunity operators now have to revamp retail and online, bringing it to the digital and data age. Importantly, in line with the group strategy, PBS has grown its retail and online customer base in Europe and Latin America. Early in 2017, we announced a three-year agreement with OPAP, H2 2017 saw go-live; it was the 4,500 estate with over 4,000 over-the-counter Ts and over 1,500 SSBTs active by the end of the period. We launched SSBTs with customers in Malta, Romania, Spain, the Czech Republic, Italy, Austria and Germany as well as Columbia with Codere and Sportium. We also agreed in principle to extend the relationship with other partners and expect further deployments in 2018. The second half of 2017 also saw an important strategic milestone in the first launch of PBS first integrated online and retail sportsbook customers with German operator HpyBet and Belgian operator Magic Betting. This progress is just the first step and the pipeline of landmark sportsbook agreements in our target growth markets is extremely exciting, as we have seen this month with new customers SAS, the biggest gambling brand in Portugal. PBS believes there is significant opportunity for SSBT growth globally and it seen the number of its active retail machines increase 37% to more than 37,000 in 2017. With the completion of the integration of the PBS retail software to the Playtech platform growth of the retail footprint offer significant opportunities for the cross-sell of Playtech ONE. As with our success in vertical, such as Casino and Live, the strength of our product is essentially in sports and particularly in retail. SSBTs take customers on a journey to produce more incremental revenue than a traditional over-the-counter experience. The success of the PBS product can be seen in it success of driving multiples and in-play bets as a percentage of SSBT turnover and more importantly the total gross win margin demonstrates the superiority of our product. Turning now to Casino. To support the continued organic growth of our core regulated markets in Europe, Playtech launched more than 300 certified games across regulated jurisdictions. In November, Playtech launched an exclusive online casino and poker agreement with leading Spanish operator Casino Barcelona and post period - post period end, agreed a landmark agreement with Authentic Gaming to stream Live Roulette from destination casinos in Italy, Georgia and Romania, a breakthrough example of the convergence of online and retail only Playtech can deliver. Following the de-coupling of casino games from the platform is part of the new casino platform, Playtech is now able to launch new content seamlessly across all markets, outside of restricted development cycles, allowing the flexibility to deliver global marketing campaign. Content is an important marketing and acquisition asset and Playtech provides its customers the ability to deploy content to appeal to targeted audiences on event such as holy days and major sports events..So far, operators launched marketing campaigns around new games deployed, while now they can use games to support their marketing campaigns. This culminated in the industry first synchronized launch of the DC Justice League slot game with the launch of the Hollywood film across all regulated markets. In addition to the global content strategy for slot games, the breadth of our games development capabilities across our eight unique studios allows Playtech to launch territory specific games. 2017 saw the successful launch of slot game Torrente for the Spanish speaking markets. Turning to the next slide, this year saw Playtech complete the industry's largest migration of dedicated Live Casino rooms to the new market leading facility in Riga. Driven by the Playtech IMS in data-driven BI, Live is fully integrated into our offering and delivers greater cross-sell opportunities through a seamless user experience from slots to Live table games with branded Live games and pooled jackpots, such as Age of the Gods Live Roulette, which delivers multilevel jackpots supported from the Casino network. The quality of our Live offering was reflected in the progress made with licensees. The completion of the migration to the new Riga facility saw Playtech re-imagine and re-design all dedicated areas for our leading customers and this resulted in all our Tier 1 customers renewing existing agreements for a long-term deals and increasing the number of dedicated tables. We saw the new commitments for dedicated tables in the second half of the year from Betfred and BGO Entertainment and launched new licensees Sports Interaction and Stoiximan at the end of 2017.Our customers go from strength-to-strength and continue to rapidly grow their presence of Live Casino worldwide. Our new revamped technology infrastructure that we call Live 2 as well as the investment we make to ensure we capitalize on the platform capabilities and the ability to link the casino and casino games with our Live offering. This has enabled Playtech to accelerate product innovation in Live with new concepts, games and features. Moving now to one of the most powerful elements of Playtech ONE, the use of data collected across Playtech verticals and channels. Key to our strategy is the continued development of the functionality of the Playtech platform, as we continue to utilize the player data and intelligence collated via the IMS. As the industry continues to develop, we work tirelessly to support our licensees in the face of increased compliance by utilizing the data available across our platform creating increased protection for licensees and customers alike by delivering KYC, AML in the risk management tools. The acquisition of BetBuddy, the responsible gambling machine learning artificial intelligence analytical solution provider will add increased intelligence to the platform to identify the signs of high risk customer behavior. In conjunction with our new in-game messaging capabilities, this will be a very powerful tool for the operators. As the gambling market continues to mature, the focus for operators is to focus on player attention and ultimately increasing player lifetime value. Our platform and only our platform allows for industry-standard bonusing, automated cashback, free- spins and golden chip for table and card games. All these promotional methods can be controlled and configured by the operator allowing for stringent liability and monetary control. During the second half of 2017, we have seen the number of Tier 1 licensees active marketing campaigns manage through the Playtech Campaign Manager, more than double to over 4,000 active campaigns with some managing hundreds of campaigns in parallel. GPAS is next step Playtech's relationship with its licensees, content providers and developers ensuring that it is Playtech's technology, which remains the architecture of the industry. Third parties can use the drag and drop maths model-based engine to build a high-quality HTML5 games or submit their own existing content for distribution across Playtech's global network on any channel, be it retail or online and allowing operators to develop games based on our data collected over 15 years with the new level of flexibility. Marketplace is Playtech's new content discovery platform where operators can access Playtech's portfolio of content and simply chose the games that will most likely appeal to their audience all driven by the data. As new content providers or partners develop games on GPAS, they will automatically be placed onto the Marketplace, gaining immediate access to all of Playtech's distribution channels. We have discussed through today's presentation now retail is a central part of the Playtech ONE ecosystem and will afford Playtech in advantage in regulated markets. I want to look now in particular how the innovation GPAS games development will give Playtech a key strategic advantage in the retail and the retail-driven markets. Currently in the industry - currently the industry has a separate approach to games development in retail and in some cases even separate approach to games development in online, with the best performing online games not available in retail. This is because converting online content is often costly, often developers have two separate development teams as well as two sets of technology, with old retail technology not even supporting HTML5 games. IN content developing GPAS can be rolled out seamlessly across retail and online channels allowing HTML5 games with high-end graphics and animation to be truly retail with multiple interactive screens and appropriate retail maths model, ultimately allowing developers to increase retail cash books. Moreover, GPAS retail capabilities will allow operators to access a rich pool of HTML5 retail developers, while at the same time slashing development costs. So when omnichannel, a pro strategy to be successful, it must shape the way you develop content as well as deliver it. And we believe the ability to deliver industry-leading content through retail will further enhance all Playtech ONE. Moving on to outlook. Data started in line with our expectations. There is no change yet in Malaysia and we have - as we have flagged this year, it is likely to see more normalized rate of growth in China with a lower contribution in H1 compared to H1 2017, but with an improved contribution in H2 2018. Outside Asia, the business has experienced good growth, which with the investment we have made across our channels and given the strength of our pipeline, we expect this to accelerate in the longer term into 2019. Finally, I want to outline the outlook and how the operational progress outline today has strategically placed us to deliver a long-term organic growth. We have outlined strategic progress in three main areas. Firstly, the strength of our industry-leading product offering, with progress in Sports, Casino and Live Casino. Secondly, the continued [indiscernible] important progress in our omnichannel capabilities. These operational achievements have allowed us to deliver landmark online deals in key geographies such as SAS in Portugal, Casino Barcelona in Spain and in retail with OPAP in Greece, in IGS with multiple opportunities. This is just the beginning, not only that agreement signed in the period we have not been able to announce with Tier 1 operators, but our pipeline into 2018 is building up and will see us announce new relationships with well-established operators and government monopolies in different European and Latin American markets resulting in incremental revenue and new profit streams. We also continue to enjoy strong momentum in key regulated markets from existing customers and expect this trend to continue give the quality of the Playtech's products and geographical diversity. Given the strength of our balance sheet, we'll execute our strategy to drive this diversification through M&A as well as organically and we are actively looking at material and bolt-on targets in the gaming division. With that, we'll now take question. Thank you very much.
Q - Alistair Ross: Alistair Ross from Investec. Just one from me. In terms of the slide, actively looking for material and bolt-on acquisitions and M&A, time horizon in terms of doing that? And also if you don't do M&A, time horizon in terms of doing a share buyback or fixing your balance sheet?
Mor Weizer: Yes, so it's the first time we basically refer to the word material, which sends I think a very clear message. However, I will say while I wouldn't have been very happy to deliver that within the first half of the year; obviously, it's not entirely in our control. And accordingly, as you probably know from recent announcement by certain consolidations that happened, this will take time. And as we call it, they have a life of their own. I can tell you that we definitely push ahead, we remain exquisite and opportunistic and we push ahead with the opportunities. Obviously, we look at different alternative of capital allocation, we look at the share price this morning, great buying opportunity, my own perception, but it's obviously we always said that the company is undervalued given the assets and the key fundamentals that did not - that remain intact. And at the end of the day, obviously, the certain different alternatives, not all of them, are available at certain point time in time. We'll push ahead with the opportunities and obviously going to evaluate if necessary.
Alistair Ross: Just on that obviously, Eyecon being the last acquisition - material acquisition you made in Feb '17, it's been 12 months, at what stage do we start to think there are no acquisitions out there, because it's been a year, you've got roughly 29% of your market cap in cash and liquid assets. At what stage do we start to think there are no acquisitions and therefore you said it yourself materially undervalued and therefore share buyback or something like that?
Mor Weizer: Yes, so as I mentioned obviously we refer to certain material and bolt-on acquisitions that we look at. Obviously, we want to push ahead with those and, as I said, we remain exquisite and opportunistic. Obviously, we are very disciplined. We don't feel the need and - that it's necessary to deliver or to buy companies because the company is growing, and as I said, the key fundamentals remain intact and we definitely see obviously good growth and good progress in regulated markets. Obviously, we do participate in the natural development of our industry moving from unregulated to regulated markets, but we definitely think that given the strong balance sheet of Playtech, we are well positioned to participate in the consolidation, being a consolidator of ourselves, and accordingly, we'll obviously always evaluate transaction on go on merit. If we deliver, we'll obviously focus on that and continue to grow the company.
Ron Hoffman: Just going back to your question also about timing on potentially long-term synergies, we're currently looking at long-term synergies - synergies with M&A and on [indiscernible]. So I would hope that even in the absence of M&A, we'll have some interim update on dividend. I don't think it is massive, but [indiscernible]
Unidentified Analyst: Just following on from Alistair's question, just on the M&A and stuff. So, in terms of the balance sheet, what level of leverage would you guys be comfortable with? I mean it's 3x net debt to EBITDA you could guide - is that a stretch, can you give us some feel for what sort of leverage you could be looking at ?
Andrew Smith: Yes, sure. I've always said that steady states between 1 and 2x that feels around the right level, with the FX go a little higher leveraging, but I think 1 to 2x particularly given [indiscernible].
Unidentified Analyst: Just one final one, I guess, on the - just on current trading. You've got mid-single digit growth outside of Asia. Is that for the gaming business or does that include TradeTech and if it exclude the TradeTech can you give us the feel for what growth rates are out there, in the new year?
Ron Hoffman: That exclude both the TradeTech and B2C gaming. That is just a B2B gaming number. It's worth pointing out actually that, that number actually we could have [indiscernible]. I won't say manipulate, we construed various things outside to show higher number than that. We did discuss that, for example, will pulled out - our operator pulled out from certain markets, such as Australia, we could have stripped that out, but we decided just to show a pure number, as we did not feel that we have anything to hide.
Mor Weizer: In terms of current trading on TradeTech, given the volatility in this - the natural volatility in this business and the fact that it is driven by margin volatility and events, I think it's wrong to give a number for the current trading because if you --- if you will, in your head just multiply that and annualize that number then you will get to basically a false perception on the performance of the business going forward. I think it's just not the right thing to do so.
Brian Devitt: Brian Devitt from Goodbody. Just three question from me; two on gaming and then a follow-up one on financials. On gaming current trading you mentioned top comparatives in Asia, can you just give us a sense of what Asia is - gaining in Asia is versus what it is was two years ago, so in the same period in 2016? And then secondly on gaming can you just clarify what your percentage revenue exposure is to fix operating by internals? And lastly on financials, can you just - sorry, I will come back with the last question, [indiscernible] for a moment.
Andrew Smith: Actually, it's a very good way to look it right because if you normalize 2017 with [indiscernible] continues to grow nicely and actually that's what if you jump from 2016 right to 2018, there is significant growth still. For Ts it is less than €10 million.
Brian Devitt: And then just on financials, could you just give us a bit of sense as how cryptocurrency is affecting the business in the year-to-date, what I'm taking at are current trading?
Ron Hoffman: It's basically very marginal. I mean, we are offering right now one product which is - the product which is through the liquidity, which is provided by the [indiscernible], which is on the Bitcoin. We don't offer currently any other cryptos. So, it's only one product. The trend right now specifically for Bitcoin has changed. So the hype around going after specific in just that asset is different in a way it was in Q4. It's still happening in other cryptos, but in Bitcoin, specifically it's lower. It is in our portfolio obviously and it is cross-selling quite well, but it's not dramatic performance - nothing to indicate specifically.
Brian Devitt: So, you are trying to say the impact has receded. Has the impact of cryptos receded versus what it was in Q4?
Ron Hoffman: Yes. It is basically neutralized given the fact that we changed the business model from taking the risk on our risk group, from moving towards [indiscernible].
James Goodman: It's James Goodman from Barclays. One the issues you discussed back in November, I believe, was a cyber issue at one of your customers in China. Just interested in how that's developed and have you seen that occur at any other customers there? Mor, thanks for the commentary around consolidation in the end-market. I mean, [indiscernible] is a question that investors are asking a lot of the moment around your specific situation with the large customer, having planned a merger, any specific commentary you can add to your general context on the customer. It would be helpful for investors at least. And Andy, finally, just on the R&D capitalization. You made a few comments there but I was surprised to see the net benefit jump up by about €10 million to the operating profit, a little bit more clarity and maybe what's the expectation there for next year?
Mor Weizer: I mean, I think it is fair to say that we've invested a lot into the business with the long-term benefit, GPAS and marketplace, the two obvious ones. And Sports is other one. I mean, obviously, it's worth noting that it has to be full in accordance with IFRS. Actually, if I'm also honest, we are not very aggressive on it given the long-term nature of our R&D, specifically actually this year, we could have put more - we could have put capitalize more actually if we wants to, but I didn't want to be too aggressive on it. In terms of 2018, I think we are probably talking around the same levels. I wouldn't want to be pushed it to significantly high by the means.
Ron Hoffman: Therefore, the two questions - cyber-attacks are something which is almost a day-to-day thing for our gambling industry. It sometimes targets the industry as the whole and sometimes target at a specific customer. What we referred to in November is the specific cyber-attack or DDoS attack, which is a distributed denial-of-service of one of our customers and it had an impact on the business since obviously and as we indicated before we implemented certain mitigation factors in order to reduce or in order to mitigate the DDoS attacks, as we do in the rest - with the rest of the business successfully, and I'm happy to say that since then we saw the numbers of these customers are bumping back to the original or normal levels and they continue to grow. As for consolidation, if I'm not mistake, you referred to GVC Ladbrokes, right, specifically? Okay. So in general, I think that I referred to Ladbrokes - sorry, to consolidation in general. Specifically on GVC Ladbrokes, I think that we should state few facts. First, Playtech holds a very, very strong position and this is the largest customer for us in regulated markets. We provide them with a lot of platforms and products across the business, retail and online, and if you think about it, we actually the platform across their entire business, retail and online. We provide them with [indiscernible] or the technology that sits behind the global draw machines, we provide them SSBT's and we provide them with a full portfolio of products online or integrated as part of our omnichannel Playtech ONE approach. I think if you go back to their previous announcements, you will be able to see, it's very evident, and they talk a lot about omnichannel being a huge opportunity for them and how they really revamped and re-energize, almost revolutionize their business. And I would say that people should not neglect what happened since Coral chose to actually move from its own proprietary software to Playtech, how it grew in size and scale to the level that led to the merger to get there with Ladbrokes. The work that we have done with Ladbrokes, the efforts we put into consolidating those two to become attractive enough for GVC as part of their offer for the business. So I think that people should not neglect the breadth and depth of this relationship and the products and platforms we provide them. In some areas, it's simply unique and we are the only ones that can provide it. The other fact I want to state is that we hardly do any business. Actually, we almost have nothing with GVC. We've always said, and as I indicated, in general terms to consolidation, we see an opportunity when two businesses like that, given the contribution of Playtech and given the importance of Playtech and given how dedicated we are of the relationship. I think that some of the GVC guys comes from Playtech, they understand us, they understand the quality of that. We have been in discussions for many, many years now to do something, to do more with GVC Bwin.party and now on the back of the consolidation, I see that as an opportunity because we can obviously reshape this entire relationship for the benefit of the combined group and the benefit of Playtech. We can extend, find ways potentially to extent to GVC Bwin.party which is one of the largest pan-European companies, very successful, doing very well outside of the U.K. and extend our reach with Ladbrokes given the importance of Playtech. I think that people should also not neglect - people should not neglect the fact that if you look today at the quality and the offering of the Playtech, but not just Playtech in the U.K. market, it's very, very different to what you find outside of the U.K. Go and check the mobile applications. Never mind that in the U.K., you have horse racing and elsewhere you hardly find horse racing and it's focused on other sports markets. But even within the same parts of the application or product, you will find that the level of complexity in the U.K. is by far greater and this is something that we achieve to get there with Ladbrokes, Coral and others in the U.K. for the last, I would say, now 13 years because we've established ourselves in the U.K. with bet365 better than they thought back then in 2005. And these relationships are still growing and it's a very successful model.
Richard Stuber: Richard Stuber from Numis. Three questions, please. First of all, on Live Casino. Obviously it is headed to good growth over the last 12 months. Could you just give us the numbers in terms of what proportion of Casinos, Live Casino and how that's changed and how you see that going forward? The second question is, could you give us an update on the regional splits, revenues by geography, and how that's changed over the last 12 months and how you see that moving forward? And the third question is on the B2B gaming. It's about €27 million EBITDA loss? I presume it's predominantly something could you - or could you say whether it's of casual and others of white-label are profitable?
Andrew Smith: If I still remember why you're asking exactly the same question [indiscernible]. It was my first question I answered as CFO. I'm going to give exactly the same answer, 10% to 20% of casino, that's okay. You asked about in B2C, yes, the vast majority of that is from Bingo. The others are in B2C, white-label, mildly break - just above break even and casual is also just above breakeven as well, although Knockers game is very success and since revenues we're reinvesting that back into using more games. So the second question?
Ron Hoffman: Regional split.
Andrew Smith: Regional split. I mean, as you know, Rich, we moved away from giving that because [indiscernible] on regulated and unregulated, what I would say is that given what happened in H2 in Asia, Asia has fallen slice a proportion. Rest of the world has grown particular because of Caliente and few other areas and you have stayed broader the same.
Tal Grant: Tal Grant from Credit Suisse. Just want to follow up with you Andy. You said, if you strip down the customers you left Australia, the number will be slightly higher. Could you maybe give that number and tell us when that customer pulled out of Australia? And is there any other markets?
Andrew Smith: That was just one example, Tal. So there were certain operators in Australia - there were other - other countries had [indiscernible] countries that had been pulled out. So I don't want to quantify it but I would say they would move to - comfortably to a couple of percentage points. But I don't think, I want to go much further than that [indiscernible].
Mor Weizer: I do want to basically state one fact and it is very important for me in light of the circumstances, and I repeated that few times but I think that it is important to say that. We are headed in a very clear direction strategically and we are very much focused on regulated market, but we are a very different animal when compared to work to operators. Operators have presence in certain unregulated markets and when the market regulates all then obviously there is a direct hit on the capabilities and firepower. So take for example, the U.K. - the U.K., when it introduced price of consumption tax, all the bookmakers or all the operators with no exception whatsoever showed less revenues and definitely by far less profits. For us the same year, we grew the U.K. revenues quite significantly, and I think that this comes down to the fact that when people ask me, I just had an interesting comment made earlier today, someone told me that we are now being criticized for focusing too much on regulated markets and put a lot of emphasis on that. But the reason is because we are a different [indiscernible] the cost of penetrating, the cost of establishing ourselves in a regulated market is a fraction of the cost of an operator, by establishing - by a market - if market is regulate, it brings a lot of opportunities to Playtech. It's all incremental. You won't find a single market except for the U.S. in 2006 maybe where Playtech today does not generate more money in regulated environments than before. And we talk about double-digit growth, we talk about in excess of 30% in the last three years - 35% actually in the last three years and I think that this only just started. What you see people are very confused by the 4% of the mid-single digit and now you ask about the mixture of moving from unregulated. When you fast-forward, we take a longer-term view. You fast-forward few years from now more markets will regulate, potentially even the U.S. with sports betting, basically in best position with its SSBTs, because people don't feel like that, but if something happens in the U.S. it will have to start with retail and then extent online because online is a legislative process and with our SSBTs that dominate each and every market, we are very well positioned. So I would say the reason we are focused on regulated markets and the fact that it's now 54%, almost cements our position going forward and cements accelerate growth. Yes, some years when people pull out of Australia, for example, our market - like there are - have some disruptions, but it's very rare occasions like Malaysia, then obviously, there is an impact, but it's a short-term impact. At the end of the day when market returns, they return with improved regulator environment even if still unregulated and obviously or they become regulated, which makes it a huge opportunity for Playtech. Look at what we achieved in Mexico and the market share of Caliente. Look at what we achieved in Finland, look at what we achieved in Italy. I think it's exceptional and Playtech holds the - basically the number one position in each and every regulated market and it's not for us, it's something that is quite obvious given the quality and - the quality of the products and platform. Last, I would say, it does provide us also with access to certain potential customers that we never had access before, if you think about it, the largest and best in each and every regulated markets are the likes of Coral - Ladbrokes Coral, Paddy Power Betfair, Sky Bet has access to a consumer business. At the end of the day, the local heroes as we tell them - the local heroes as we call them, those that have access to the market through retail or consumer businesses, media companies alike obviously become the most important and dominant between them, not individually, but between them, the most important in the market. They are not accessible to us before the market is regulated. When the market is regulated, they look for companies like Playtech as their natural choice and this was very evident throughout the last 10-year since 2008 when Italy regulated and it only just continued with Casino Barcelona that went Live with SAS in Portugal, which is the retail sports government monopoly. The work that we do for WakeHouse, the retail and online sports and slot machine monopoly and this trend I guarantee will continue. We referred to strong pipeline. We referred to sign contract that did not go Live and we referred to contract that we can't even name for commercial sensitivities because those are migration from competitors and we don't want to risk it. So I think that we sit in a very comfortable position and regulated is our way forward and I think reality shows that financially from revenue and profit perspective, it's the right way forward for us.
Ron Hoffman: If I can just add one more thing to that. I kind of see a forecast for regulated would be [indiscernible] there is obviously - there are lot of moving parts and particularly this year given at Malaysia. But what I would say is I think that 54% will be around the 60% level in 2018. Now, if I'm wrong please, don't quote me, but it is to show where we - how we see things at the moment.
Tal Grant: Just a follow-up. You are thinking about being best positioned in the U.S. So what are you - what are you doing there? Have you applied for license in Nevada, for example? Are you speaking to casinos in other states?
Mor Weizer: We are developing our strategy to the - with the U.S. Actually, we have a strategy to deal with the U.S., we are just defining that and only just started executing against it. Obviously, I won't mention what we do because it's commercially sensitive. But I believe once commercially viable opportunities will present themselves, you will find Playtech there. Nothing prevents us from penetrating the market. I think that Playtech holds a prime position both in terms of its reputation and the fact that it's publicly traded, the transparency, but also the quality not least and most importantly, maybe I should say the quality of products and contribution it can make to different local heroes in the U.S. and if you think about sports, it will likely be regulated. So it starts with retail and then going online and this is I believe a real opportunity for Playtech.
Simon Davies: My name is Simon Davies. You say on the final side that you're confident of good growth in 2018. I was just wondering are you referring to revenue growth or EBITDA growth? And whether or not that is on an organic basis or whether it will require deals?
Mor Weizer: It's interesting actually how people analyze it. I think because - it goes back to [indiscernible] points. But I think because we are expecting good growth in regulated - both revenues and earnings, that was where the stable came from, but as it happens, I think we will see good revenue growth and I think we will also see EBITDA growth as well.
Simon Davies: On an organic basis or - ?
Mor Weizer: It's between [indiscernible] for organic, actually because [indiscernible] M&A 2017.
Simon Davies: No, but I mean -
Mor Weizer: We are not referring to additional--
Ron Hoffman: Sorry, I understand that. We're not, that is, yes organic.
Mor Weizer: Without any additional acquisition, when we talk about the underlying performance of the existing company that includes certain companies we acquired in 2016. And there is - very minimal contribution 2017.
Simon Davies: Simon Davies from Canaccord. Just a few from me. Returning to the subject of M&A. In terms of the material transactions you're looking at, can you indicate whether they might be on the B2B side, B2C or both? Secondly, on OPAP, you gave us a feel for rollout at the end of the year. Can you give an indication of the number of units you think will be rolled out this year and where that ultimately might end up? And lastly, just on GPAS, so this year you are introducing a low-cost development system, you're licensees, is there a risk that going to be cannibalize your existing content business?
Andrew Smith: I'll take the first one. I think quite a few of you [indiscernible] presented the M&A, because if you remember in order to make it, [indiscernible] looking for some M&A at that time. At that time we said this we will been looking at both B2B and potential B2C, I think in B2B we pointed out content which is always - which [indiscernible] for acquisition. Sports can be something an omnichannel, but also we [indiscernible] B2C as well, so the answer is all options are open Simon.
Mor Weizer: In terms of the rollout, we expect a lot of more machines obviously. We can't specifically currently say, but we talk about many, many thousands of machines that we intend to deploy. Some are already secured, some are in advanced discussion with existing partner who already in principle agreed to take the machines in each and every market. We talk about few thousands of machines and we're in discussions with various operators. Obviously, it's a method of how long it takes to deploy, to manufacture deploy, it is a different development life cycle that is required in retail to ensure that the product will feed to the specific needs of the market and then obviously when there is the rollout is based on obviously it has to be timed, given the manufacturing element of it, but we talk about thousands of machine. Obviously, we referred to the fact that in 2017 alone, we increased the number of machines by 37% to 37,000 machines and we already - we have a very strong pipeline for many more thousands of machines that will be deployed in 2018 and then following that. As for GPAS, I'm not sure that I understood the question, basically what we - what we provide is the architecture and a solution that's streamlines and accelerates, but in other words, it gives more flexibility to the operators to use existing maths model with proven track record. It's a very, very - you have to understand this is a very, very sophisticated system. It's not just a technical tool for operators to basically go and buy drag and drop design new games - bespoke games. It is all based on data that is driven by the performance of all the operators across the piece and across the Playtech portfolio. They all generated a lot data that go into the system. The data is crunched. So an operator in essence by using our technology basically can generate or develop relatively quickly if they have some ideas for - and they come with the graphical elements and they want to use, for example, a mass model that worked for the U.K. audience for sports betting customers that migrated to Poker rather than Bingo - Poker rather Casino, we will know how to do this. It comes down to the streets where people live, just so you understand the granularity of the system. We know exactly the - we know to analyze the demographics. We know how to analyze their performance based on the features for specific games and within 7 minutes, if they have the graphical elements they can generate a game. What it means actually is that they use the games instead of us developing the games and provide it to them on the continuous basis, which we anyway intend to do. And by the way, some of the most sophisticated games that we will develop going forward, and actually every game that we will develop going forward or almost every game we will develop going forward will be based on the GPAS. We started using it ourselves and already launched a lot of games. And beyond that, I will say that those that will use it, will actually pay the same as if Playtech developed it. Obviously, there is added value for them because they can design it in accordance with their marketing policies with their - in accordance with their appetite with their marketing promotions and campaigns. It's a very, very powerful tool, not least because obviously GPAS supports retail and online, and for the first time you can generate again that is two omnichannel games offered in HTML5 across retail and online, and this is very, very powerful. This is actually the intention between the GPAS in marketplace is to become the equivalent of the up-store for the gaming industry. We have access to 800 games and this tool allows us to basically generate hundreds of games every year. Some will bespoke, some will be developed by third-party content providers and some by Playtech. Never mind how you use that, you obviously use the Playtech technology. You have the benefit of designing your own game, you pay the same, we will not charge more for that.
Simon Davies: Just one last question where we are--
Mor Weizer: I will follow with you afterwards.
Simon Davies: Here, that will be available on one-to-one in a few minutes.
Ivor Jones: Ivor Jones from Peel Hunt. How do we get the sense of the opportunity in regulating markets given you don't talk about geography, what market share do you have in Italy and Spain, so we can project forward to Netherlands, Portugal et cetera?
Mor Weizer: Before you say that, actually, I look at it in a slightly different way actually as well. So, if you look at our market share basis - it's interesting - I understand, some people try and model the opportunity by taking practically the total size of the market and what market share we can get to. But that works on the basis that we always take constant revenue share. If you take something like Caliente, well we don't take the normal kind of 15%. It could be significantly higher, particularly when it is a structured agreements and we are - let's say, we did a great B2C offer, but in a B2B capacity. So actually try to model the opportunity that way, it doesn't quite work. Ron, if you have anything to add to that.
Ron Hoffman: Yes, absolutely. Actually, if you think about the Playtech model, if you think about the way forward for us, strategically, you have to understand, some years you have to invest into the products, some years you have to invest into penetrating additional markets. The reality of it, we see very strong double-digit growth in regulating markets and regulated - newly regulated and regulated markets, across the piece. In most markets we hold a market share of between 15% and 25% with many of them between 20% and 25%, I'm just being cautious here and this is basically the goal of Playtech to become 25% market share. We will never own piece, we will never be the supplier that provides everything, but we talk about many big operators as we did in each and every regulated markets. For example, in Italy we work with SNAI, Sisal and EuroBet and William Hill and Paddy Power, Betfair and Ladbrokes, and Automatica in the U.K. You all know, we work with all the largest bookmakers. At the end of the day, the way to think about the Playtech model, the Playtech's future is that it lays with regulated markets. I was surprised by the number of countries we penetrated when we fast forward the results. I was surprised by the number of countries we penetrated. When I looked across the piece between IGS that signed with Olympic gaming for the Baltics and Eastern European countries and Sisal's as well as all the SSBT's, we put into so many different countries between Europe and Latin America, all together the way to think about it Playtech games at becoming 25% market share, proved that it can be achieved, and it is the case in many regulated jurisdictions. It's just and we participate in the natural development of the industry moving from unregulated to regulated markets. You fast forward few years, the majority - the vast majority will be regulated and obviously with the prime position in each and every market.
Andrew Smith: James, just a point to that, I think you had your hand right from very start.
Ivor Jones: I'll ask one question in two parts, if that's ok. So, so the question is very easy, on - both on [indiscernible], but first of all when you said about growing revenue on profit during the year on an organic basis, that is excluding Malaysia, you still expect to grow EBITDA this year, is this correct?
Andrew Smith: Correct.
Ivor Jones: And then finally on China, you spoke a little about the competitive situations in the side burn, if they have some, more of that was very clear, but could you talk about what you exactly mean by normalized growth, when you talk about? Is that just, there was high comps last year and it was to normalize or is there anything else going on there, you would like to comment on in terms of the regulatory or technical requirements of this being quite a lot in the press around crackdowns, technical staff [indiscernible], et cetera, how do you look at that?
Mor Weizer: The way we think about it - and given obviously with an opportunity we had a very successful ICE Conference, where we had 150 employees flown into the U.K. with many more from the U.K. participating with hundreds of meetings, you can't imagine. And at the end of the day, we had the opportunity to discuss China, Asia and obviously other markets with our distributors and our operators and different potential operators and potential distributors that operate through our distribution channel. And I think that the - I would say that the common view is that it - the status quo will remain. Yes, from time-to-time you hear about certain things. You have to understand people simply do not distinguish between countries and governments trying to - I would say address, local domestic activity that by definition involves cash and casherings and online activity and there is a very, very clear distinction between the two. It's almost obvious for people in the U.K., Italy, and elsewhere, maybe in Italy, not as much, but in many other jurisdiction, it is almost clear that there is a clear distinction between the two. Obviously in some unregulated markets the crackdowns are usually on local casherings rather than online activity. And therefore the feedback that we have is that the status quo will remain. And the cyber-attacks were something that we simply be called the - some of the maintenance and some of the mitigation tools that will managed - were managed by the operator. When they seek help we assisted them, as we do for our Poker network for example, that is being attacked on a continuous basis. As is the case with 888, as is the case with PokerStars, as is the case with everyone else in our industry. We simply assisted them putting some mitigation factors, did not see something that is quite common, not just in our industry, there are very good solutions for that and I'm happy to say that we resolved that. Other than that, we don't see much change. In terms of normalized level being very cautious, the market is obviously not a mature market [indiscernible], but it is a mark that has seen, accelerated growth that we participated and everyone know that it's a very - it is an important element of our business. It's a very significant element across the gambling industry in terms of size and scale, and it enjoyed accelerated growth over the last few years. There was a question about how it looked two years ago, it looked, by far smaller or for us by far bigger now. I would say if I need to be more specific, I would say normalize level over the high end of single digit, only taking - being very, very cautious because of obviously everyone now knows that Asia is where you would like to be. I just heard a comment from someone who told me, I don't really know why you people still lag on that point because everyone is there now. Even some of the largest bookmakers never mind some of that are known for doing business in Asia, but others that were not known doing business that basically started saying that they are going to penetrate Asia. And accordingly, everyone is there including other content providers [indiscernible] cautious view, I would say the normalize level for the growth of operators is a high single mid digit - high single-digit.
Alan Jackson: Good. Thank you very much.